Operator: Good morning, and welcome to the Howmet Aerospace Fourth Quarter and Full Year 2024 Conference Call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. Please note this event is being recorded. Now, I would like to turn the conference over to Paul Luther, VP of Investor Relations. Please go ahead.
Paul Luther: Thank you, Anthony. Good morning and welcome to the Howmet Aerospace fourth quarter and full year 2024 results conference call. I'm joined by John Plant, Executive Chairman and Chief Executive Officer, and Ken Giacobbe, Executive Vice President and Chief Financial Officer. After comments by John and Ken, we will have a question and answer session. I would like to remind you that today's discussion will contain forward-looking statements relating to future events and expectations. You can find factors that could cause the company's actual results to differ materially from these projections listed in today's presentation and earnings press release and in our most recent SEC filings. In today's presentation, references to EBITDA, operating income, and EPS mean adjusted EBITDA excluding special items, adjusted operating income excluding special items, and adjusted EPS excluding special items. These measures are among the non-GAAP financial measures that we've included in our discussion. Reconciliations to the most directly comparable GAAP financial measures can be found in today's press release and the appendix in today's presentation. With that, I'd like to turn the call over to John.
John Plant: Thanks, Paul, and welcome everybody to today's call. Let's move to slide four. I'll begin commentary on our fourth quarter. We closed out 2024 with healthy results, which exceeded the high end of our guide. Revenues are record as well as EBITDA, EBITDA margin, and earnings per share. Fourth quarter earnings per share was $0.74, an increase of 40% over the prior year, that concludes the year at $2.69. For the full year, this represents a 46% increase year over year, and it's 25% higher than our initial guide for 2024. Operating margin for the quarter was 23%. Free cash flow for the year was also a record at $977 million, representing an 88% conversion of net income. Average free cash flow conversion of net income over the last five years has been approximately 100%. Of the $977 million of free cash flow generated in the year, it was deployed to share repurchases, debt reduction, and dividends. During 2024, Howmet repurchased $500 million of common stock, of which $190 million was completed in Q4. Howmet also reduced debt by $365 million and paid $109 million in dividends. Regarding dividends, we recently announced a 25% increase in the quarterly common stock dividend, which will be paid later this month. The balance sheet continues to strengthen with the leverage of net debt to EBITDA improving to 1.4 times. Ken will now provide additional color regarding end market revenues in the quarter and year before moving to segment results. The one segment I'll highlight is the improvement in profitability in the structures segment since it showed the largest quarterly increase. This was clearly welcome and helps with our confidence moving into 2025. The commentary regarding outlook will be provided later after Ken's comments.
Ken Giacobbe: Thank you, John. Good morning, everyone. Let's move to slide five. So another solid quarter for Howmet. End markets continued to be healthy. We are well positioned for the future and continue to invest for growth. Revenue was up 9% in the fourth quarter and up 12% for the full year. Commercial aerospace growth remained strong throughout 2024, with revenue up 13% in the fourth quarter and up 20% for the full year driven by all three aerospace segments. Defense aerospace growth accelerated in the fourth quarter and was up 22% for the full year, driven by fighter programs and fighter engine spares demand. Commercial transportation was expected to be challenging, as revenues were down 12% in the fourth quarter and down 7% for the full year. Although down, we continue to outperform the market with Howmet's premium products. I would also note that despite the challenging market, Howmet's wheel segment delivered a healthy 27.2% EBITDA margin for both the fourth quarter and the full year. Finally, the industrial and other markets were up 11% in the fourth quarter driven by oil and gas up 22%, general industrial up 12%, and IGT up 5%. For the full year, industrial and other markets were up 9% driven by oil and gas up 19%, IGT up 7%, and general industrial up 5%. Within our markets, we had robust spares growth. The combination of commercial aerospace, defense aerospace, and IGT spares was up approximately 25% for the full year to $1.28 billion. Spares revenue in 2024 represented 17% of total revenue and accelerated in the second half of the year. As a comparison, spares revenue in 2019 was 11% of total revenue. In summary, continued strong performance in commercial aerospace, defense aerospace, and industrial, partially offset by commercial transportation. Now let's move to slide six, starting with P&L. The focus of my comments will be on full year performance. Full year revenue, EBITDA, EBITDA margin, and earnings per share were all records. On a year-over-year basis, revenue was up 12% and EBITDA outpaced revenue growth, up 27% while absorbing approximately 700 net new employees. The engine segment added approximately 1,205 employees while we reduced employees in fasteners, structures, and wheels as we improved labor productivity and are seeing the benefits of our capex investments. Full year EBITDA margin increased 310 basis points to 25.8% with a fourth quarter exit rate of 26.8%. For the full year, incremental flow through of revenue to EBITDA was excellent at approximately 50% year over year. Earnings per share was $2.69 per share, which was up a healthy 46% year over year. Now let's cover the balance sheet and cash flow. The balance sheet continues to strengthen. Free cash flow for the year was a record $977 million, which exceeded the high end of guidance. Free cash flow conversion of net income was 88% as we continue to deliver on a long-term target of 90%. CapEx investments in the year were a record $321 million, up approximately $100 million year over year as we continue to invest for growth. The year-end cash balance was a healthy $565 million. Net debt to trailing EBITDA continues to improve and was at a record low of 1.4 times. All long-term debt is unsecured and at fixed rates. Howmet's improved financial leverage and strong cash generation were reflected in S&P's Q4 rating upgrade from BBB- to BBB. As you will also recall, in Q3, Moody's upgraded Howmet two additional notches in investment grade up to Baa1. Liquidity remains strong with a healthy cash balance and a $1 billion undrawn revolver complemented by the flexibility of a $1 billion commercial paper program. Regarding capital deployment, we deployed approximately $975 million of cash to common stock repurchases, debt pay down, and quarterly dividends. For the year, we repurchased $500 million of common stock at an average price of $87 per share. Q4 was the fifteenth consecutive quarter of common stock repurchases. The average diluted share count improved to a record low exit rate of 408 million shares. Additionally, in January 2025, we repurchased an additional $50 million of common stock at an average price of approximately $116 per share. Remaining authorization from the board of directors for share repurchases is approximately $2.15 billion as of the end of January. For the year, we reduced debt by $365 million. This included a partial pay down in Q4 of $60 million of the US dollar denominated term loan that's due in November of 2026. The combined debt actions for the year will reduce annualized interest expense drag by approximately $37 million. Finally, we continue to be confident in free cash flow. For the year, we paid $109 million in dividends, which was an increase of 53% year over year from $0.17 per share to $0.26 per share. We also recently announced a 25% increase in the quarterly common stock dividend from $0.08 a share to $0.10 per share. Now let's move to slide seven to cover the segment results for the fourth quarter. Engine Products delivered another strong quarter. Revenue increased 14% year over year to $972 million. Commercial aerospace was up 13% and defense aerospace was up 19% driven by engine spares growth. Oil and gas was up 31%, and IGT was up 5%. Demand continues to be strong across all of our engines markets with record engine spares volume. EBITDA outpaced revenue growth with an increase of 30% year over year to $302 million. EBITDA margin increased 380 basis points year over year to 31.1%, while absorbing approximately 220 net new employees in the quarter. For the full year, revenue was up 14% to $3.7 billion. EBITDA was up 30% to $1.15 billion and EBITDA margin was 30.8%, which was up approximately 360 basis points year over year. All were records for the engines product segment. Moreover, the engines product segment added 1,205 net new employees to support future growth. Now let's move to slide eight. Fastening systems had another strong quarter. Revenue increased 11% year over year to $401 million. Commercial aerospace was up 17%, including the impact of the wide body recovery and the Boeing strike. General industrial was up 32%. Defense aerospace was up 2%. And commercial transportation, which represents a we was down 13%. Year over year, EBITDA outpaced revenue growth with an increase of 39% to $111 million. EBITDA margin increased 550 basis points year over year to a healthy 27.7%. The fasteners team has continued to expand margins through commercial and operational improvements. For the full year, revenue was up 17% to $1.6 billion. EBITDA was up 46% to $406 million. And EBITDA margin was 25.8%, which was up approximately 520 basis points year over year. The fasteners team delivered solid year over year revenue and EBITDA growth while reducing headcount by approximately 135 employees. Let's go to slide nine. Engineered structures performance continues to improve. Revenue increased 13% year over year to $75 million. Commercial aerospace was up 9%. And defense aerospace was up 51%, primarily driven by the F-35 program. Year over year, segment EBITDA outpaced revenue growth with an increase of 55% to $51 million. EBITDA margin increased 500 basis points to 18.5% as we continue to optimize the structures manufacturing footprint and rationalize the product mix to maximize profitability. For the full year, revenue was up 21% to $1.1 billion. EBITDA was up 47% to $166 million. And EBITDA margin was 15.6%. EBITDA margin was up approximately 270 basis points year over year and headcount was reduced by approximately 235 employees year over year. The team continues to make progress and we expect continued improvements in 2025. Finally, let's move to slide ten. Forged wheels revenue was down 12% year over year as the slowdown continues to take hold of the commercial transportation market. EBITDA decreased 8%. However, EBITDA margin continued to be healthy at 27.2% as the team flexed cost and expanded margins through commercial and operational performance. For the full year, revenue was down 8% to $1.1 billion. EBITDA was down 7% to $287 million. EBITDA margin for the full year was a healthy 27.2% in a challenging market and was up approximately 30 basis points year over year. Lastly, before turning it back over to John, I wanted to highlight a couple of items that are in the appendix. First, the operational tax rate for 2024 was 20.5%, which represents a 170 basis point improvement year over year. Second, pretax return on net assets improved by 800 basis points from 33% in 2023 to 41% in 2024, driven by strong profitability and the optimization of working capital in fixed assets. So with that, let me now turn it back over to John.
John Plant: Thanks, Ken. And let's move to slide eleven. I'm gonna provide some commentary by each market segment and also then move to specific guidance. But before I do that, maybe it's worthwhile just making sure that everybody understands that we did again outgrow each of our respective markets in 2024. And that's been a theme of recent years. And we expect to do so again in 2025. Let's start with the commercial aerospace segment. Air travel and freight transportation have continued to grow, especially in Asia Pacific. Backlogs for Airbus, Boeing, and COMAC have never been higher, principally due to the underbuild of aircraft schedules by all of the aircraft manufacturers, but most notably by Boeing given the strike, which commenced in late Q3, which lasted for almost two months, and was then followed by a further month of employee retraining with no aircraft build. Hence, backlog increased again. Given the continued production of many parts by suppliers, starting with Spirit AeroSystems during this production gap, the runway is wide open for builds to now increase. Airbus came close to their revised 770 aircraft build and show promise going into 2025. Comac delivered ten C919 aircraft in 2024, principally to Chinese airlines, and we can expect higher production volume in 2025. While we have an estimated OEM build volume for each aircraft, perhaps the most interesting build assumption is the Boeing 737 MAX, which we see is about 25 aircraft per month on average for the year, skewed towards the second half. This assumption enables investors to adjust their models up or down according to their own assumptions. Of course, should Boeing build at rate 38, or indeed rate 42, we will match this. I'll now touch on spares before moving to defense. Our total revenue from spares was $1.28 billion, representing 17% of Howmet revenue. Spares revenue increased approximately 25% in the year, with acceleration in the second half of 2024. We envision spares to continue to be healthy again in 2025 and growing towards our previously stated projection of 20% of Howmet revenue. Defense was also a source of strength last year, and we see this continuing into 2025 for both legacy aircraft and the F-35. In 2025, or early 2026 at the latest, we should see the crossover where spares volumes for F-35 will exceed the F-35 OE engine revenues. Then it will continue to grow as the fleet of aircraft expands worldwide. Industrial is expected to be up mid-single digits led by demand from IGT oil and gas. I provided extensive commentary regarding future IGT demand during the November earnings call. Since then, the overall picture has become even brighter for electricity demand from data centers due to the incoming US administration's focus, which is less on renewable subsidies and more on fossil fuels. We see demand increasing from running the existing fleet of turbines harder and hence more spares being required. Moreover, we expect increases in new turbine builds to increase globally in 2025, 2026, and 2027, and beyond. The gross requirements for increased megawatts of demand were set out in November. While the change is currently towards natural gas, and hence favors Howmet, the expected growth in IGT drives an increase in IGT CAP investment for 2025 compared to 2024. As in 2024, capex investments are linked to customer contracts. As the global leader in IGT turbine blades, we'll continue to focus on additional global capacity demand for Siemens, Mitsubishi Heavy, GE Vernova, and others. We're optimistic about the next few years of IGT growth and Howmet is well positioned for both future OE build and for spares growth. Moving to commercial truck, demand continues to be muted as expected. We were pleased with our ability to increase wheel's margin despite the severity of the downturn in Q3 and Q4, and printing a very respectable 27.2% EBITDA margin for the quarter. Outlook is unchanged with some return to growth expected in the second half of 2025. In summary, we see demand increasing in 2025 with the profit being back end loaded, principally due to the Boeing build and likely increase in build moving into 2026, with the increased second half truck builds as well. The overall midpoint of the revenue guide has moved upwards from 7.5% to 8% plus or minus compared with the November estimate. And this extra growth is on top of closing out a very strong fourth quarter of 2024. Moreover, we expect in 2025 first quarter, we expect revenues to be $1.935 billion plus or minus $10 million. EBITDA of $520 million plus or minus $5 million. And earnings per share of $0.76 plus or minus a penny. The guided Q1 incrementals are healthy at over 70%. And for the year, revenue to be $8.03 billion, plus or minus $100 million. EBITDA, $2.13 billion plus or minus $25 million. And earnings per share of $3.17 plus or minus $0.04. Finally, free cash flow is expected to be above a billion at $1.075 billion, plus or minus $50 million. The full year incrementals are healthy at approximately 36% in the guide while we await more clarity on the second half and, in particular, the commercial aerospace narrow body builds. Before moving to capital allocation, a couple of comments on tariffs. We're closely monitoring the situation, and the situation, as everybody knows, remains fluid. But we expect to be well positioned due to our strong commercial agreements and the mission-critical nature of our products. We'll pass on additional costs through to our customers. We've demonstrated our ability to do so and quickly pass on costs following the steep inflation that we saw in 2022. I'll make a few closing comments on capital allocation for 2025 before moving to Q&A. I invite you to view the 2024-2025 summary slide for commentary. The Howmet balance sheet is strong. We were rated well into investment grade, and net leverage closed at 1.4 times net debt to EBITDA. 2025 sets up well, but with a back end load. The dividend payout has been increased by 25% starting in Q1. And hence, the dividend payout for the year will repatriate further funds to shareholders. The share buyback program will continue with plenty of availability under the current board authorization. We expect that the total buyback in 2025 will exceed the buyback of 2024. Debt pay down will be muted compared to 2024. This provides the company with both good shareholder return profile and also great optionality. And with that said, let's move to questions.
Operator: Thank you. We will now begin the question and answer session. To ask a question, you may press star then one on your telephone keypad. If you're using a speakerphone, please pick up your handset before pressing the key. To withdraw a question, please press star and two. Please ask that you limit yourself to one question. At this time, we'll pause momentarily from our roster. Our first question will come from Doug Harned with Bernstein. You may now go ahead.
Doug Harned: Good morning. Thank you. On fastening systems, you came up with EBITDA margins of 28% roughly. I mean, this has kind of been a big step up. Now, you've got, I think, a mix improvement working here with more A350, 787 fasteners. But can you talk about is there anything unusual that happened in the quarter or are you really on a path here to get materially higher margins going forward either from mix performance improvement or operating leverage?
John Plant: I think when I looked back at our fastener business, the track we are on is really very good, Doug. The focus in the business from all aspects of those operational and productivity improvements has been even better than I had expected. And combine that with, I will say, commercial discipline has enabled us to move a long way along the pathway to restoring previous margin highs. And so I'm pleased with that. I don't think that the wide body mix has changed fundamentally yet for the positive. I mean, there's a small positive exchange relative to narrow body that's gone on during 2024. But I do expect that the builds for 2025 to be better than 2024. And so I think there's still some positive mix that's there for us. Especially as we look forward to hopefully a rate ten and maybe more for the Boeing 787. And, also, I think you'll recognize the Airbus future monthly build has been stated to move to twelve aircraft a month by 2027, and that compares to probably last year's about five a month. So I think the rate of increase for wide body is gonna pick up over the next two to three years, and that should be further benefits for the business. Naturally, you know, the rate of increase in margin I would expect to be less aggressive in the future, but I don't think that we're finished yet.
Doug Harned: Okay. Very good. Thank you.
Operator: Thank you. Our next question will come from Myles Walton with Wolfe Research. You may now go ahead.
Myles Walton: Good morning. John, just looking at your implied guidance after the first quarter, it implies margins start to step down and certainly incrementals are half of what you're implying for the first quarter. Can you rationalize some of that for us? What's growing? What's a headwind? And or is it more conservatism given your lack of visibility beyond the first quarter?
John Plant: It probably would have been fairly easy for us to be a little bit more optimistic at the same time, you know, there's lots of things going on during 2025. The rate of growth could be materially changed by additional narrow body builds as an example. And, you know, we've chosen to be fairly conservative in that view for our financial guide. And also, you know, there's always a possibility of some cutbacks given the statements of the CFO at Boeing regarding excess inventory. Albeit, I don't think that's gonna be a problem, but you never know. Therefore, you know, the lack of visibility that we and I suspect other suppliers have, we want to be a little bit cautious in that regard. And so we don't wanna get ahead of ourselves. And so that's the way I think about the narrow body side. Again, on wide body, it could be better. But let's wait and see till we are clear that some of the supply chain challenges that have been quoted publicly, whether it's been seats or fuselages, sections, or say, heat exchange, all these sort of things which have been mentioned. Are those now clear? And so we don't wanna be a little bit cautious there as well. And, also, as you know, we're building out a couple of new manufacturing plants this year, facilitating them, and so you know, want to be a little bit cautious in that regard too. We've got our feet well under the unfirmly placed under the table on those two things. And it's also, as you know, always a little bit uncomfortable having a back end load to these two things. And so at this stage, I think we've given the best visibility that we have, which is another strong step forward in Q1. And choose to be a little bit more muted in the March year. Do we know a bit more about the profile of the year and how it all out. And as you know, we also said the second half of the year for commercial truck is also expected to improve. But, again, it's an expectation, not knowledge. And so again, know, we need there's no need for us to get ahead of ourselves. Until we've got better visibility of all of the things play out in this year, which is the demand increases from what customers say they may achieve and what markets might do. And while we're, as you know, building out a substantial amount of infrastructure, to enable us to match the demand as we're going to the second half and 2026.
Myles Walton: Just one follow-up. What is the headcount growth you're thinking about to match that expansion of capacity?
John Plant: I'm guessing about a thousand net heads for the year at this point. You know, we'll have a higher gross number than that to net down to a thousand. A little bit less than in 2024. Commensurate with us also improving our productivity. But, again, it's something which is yet to be determined. That's directionally how we're thinking about it.
Myles Walton: Okay. Thanks again.
Operator: Our next question will come from Robert Stallard with Vertical Research. You may now go ahead.
Robert Stallard: Thanks so much. Good morning. How are you?
John Plant: Good morning.
Robert Stallard: John, I just wanted to follow-up on your 737 production forecast. I was wondering what sort of purchase orders your various businesses are seeing at the moment. Whether you've got any more clarity on how much inventory is in the system at this point.
John Plant: So our fourth quarter wasn't stellar in terms of requirements for Boeing. And we have seen and have fully taken account of the cutback that have occurred due to inventory. And so that's already baked into our first quarter guide. And so there's nothing for us to be concerned about there. The thing that I do worry about is if we are unable to, let's say, smooth some of those, is that demand on us could actually accelerate to an even much higher rate in the valve to be going into 2026. And so it's up potential for some instability in the demand profile. We've taken account of it. And but the most important thing is that which we see at the moment is fully baked into our first quarter. I think it's pretty healthy anyway. So nothing to worry about there. Again, as you know, we're not yet changing over the turbine airfoils for the LEAP-1B. And so we expect that to continue with the existing product as we go through 2025. And looking towards a later implementation compared to the LEAP-1A. So it's just worth mentioning that in the context of the dynamic idea.
Robert Stallard: Okay. Thanks so much, John.
Operator: Our next question will come from Scott Deuschle with Deutsche Bank. You may now go ahead.
Scott Deuschle: Hey, John. You referenced engineered structures benefiting from product rationalization this quarter. You can just explain in a bit more detail what that product rationalization point is referring to? If there is opportunity for further benefit, from beyond this quarter going forward. Thank you.
John Plant: Okay. So you may remember, Scott, that we closed down a couple of facilities in Europe earlier in 2024, and also sold one of our less profitable structures business. So that's some of the sort of effect on margin albeit probably even bigger than that has been the step up in productivity and performance of the business. And so when I think about it for 2025, I was really pleased with our exit rate. And do not think there's anything to worry about in terms of going backwards in that regard. So I think the combination of having thrifted out three underperforming operations while still having revenue grow, which is always a great time to do it, improvement in productivity, and also, again, commercial focus has paid dividends for us and for us to be able to step up to from a 14% level to an 18% EBITDA margin, was really good, and that's why I chose to call out in my opening comments. And hope to be as good as that. It will build on it during 2025.
Scott Deuschle: Thank you. And just to clarify, can you say what the guidance is assuming on the GTF advantage certification timing?
John Plant: So let me just step through the overall picture on changeover on both the GTF and also it's worthwhile mentioning the changeover on the LEAP engine. So GTF certification has not occurred. We still await final approvals from our customer Pratt & Whitney regarding the sign off for tooling to be able to make it high rate. You know, we have done some early production and so we're optimistic that changeover because during the, say, the 2025 year, it's unclear to us yet exactly when the changeover will occur and substantial volumes will do so. But let's assume at this point a mid-2025 changeover, albeit with everybody wanting that change to occur as soon as possible, both for the durability improvements in the engine and for Howmet's additional content and overall mix within the business. So we see that as a good change. But it's still struggling to put a pin in exactly which month will change over. In the case of GE, the changeover for the LEAP-1A has finally occurred. And so that's good. And if you think about Q4, I mean, we were during that quarter, uncertain about changeovers that we prepare to change and didn't change and then change over again. So there's a little bit of disturbance in our fourth quarter engine margin performance due to that changeover, which I think everybody can understand. But the most important thing is, as of now, in, say, January into February, we've changed over to the new improved version. And we believe that will be a net good for both GE and for Howmet. So there was LEAP-1B, my expectation is that won't change over at all during 2025, and that will be sometime more like mid-2026. But, again, the timing to be determined and the changeovers need to be approved by both GE, Boeing, and also the FAA. So, you know, that timing is less clear. In summary, GTF by hopefully midyear this year. And we look forward to that change. The LEAP-1A has now changed as of January. And that preservation in our margin is behind us. With all the what's required in a major changeover like that, and so all good on that front for increased robustness of those narrow body engines.
Scott Deuschle: Thank you.
Operator: Our next question will come from Ron Epstein with Bank of America. You may now go ahead.
Ronald Epstein: Hey. Yeah. Good morning, John.
John Plant: Hey, Ron.
Ronald Epstein: Can you speak a little more to the opportunity in industrial gas turbines? Because it does seem like over the past several quarters, you've gotten, I'd say, more build up on it. Right? So is there any more color you can give around it? And, I mean, ultimately, how big could it be for you guys?
John Plant: Just well, it is tough to get me bold up on something. I'd like to believe I'm fairly level-headed, Ron, but I do think that the picture for IGT is exceptional. And has got even better since the November earnings call, which as you recall was the day after the election. And the big picture is data center being built out throughout the world. But I'll just stick with the US because it's easy. Then you could just extrapolate it. But the data centers require massive amounts of electricity both for the build out of them, the functioning of these new chips in the servers, and also electricity for cooling and down as well. So the demands are extraordinary. And it will be interesting to see how both the electricity is provided and also the grid is able to cope with it. And also, I think that certain data center clusters are going to have their own source of electricity because of the security they need for it, which will require gas turbines to be on-site. And so the overall blend of electricity provision between that which will come from wind, solar, and for natural gas, I think, has changed with the new administration. And I think that everybody is seeing an even brighter prospect for natural gas and industrial gas turbines going forward. And we have been in deep discussions with some of our customers to create the capacity. And in fact, we're actually in that capex guide I gave, we're actually going to build out additions to two of our sites to enable additional plants and equipment to be installed over the back end of 2025 and 2026 and also into 2027. So we're pretty optimistic about it. Of course, it doesn't none of these things happen without some disturbance. And, you know, we all are familiar with deep seek and was that a revolution? And the best way I could explain it is that it was using the benefits of the open language models developed by other hyperscalers. But, fundamentally, in terms of the hyperscalers that we think about, which is the Microsoft and Meta and Google and Oracle, then I think the requirements for building out these servers and in data centers, it's all intact and I expect it to be really good for that segment going forward. In the short term, it's gonna have to be provided by running the existing turbines harder, which means spares demand and at the same time, everybody of all of the major gas turbine providers in the world are gearing up to add capacity. And to for them to do that, they need the most crucial component, which is the turbine blades, which leads back to Howmet. And we do have the leading market share above 50% of that global market. So we're pretty optimistic about it. You know, consciously, we don't wanna get ahead of ourselves. And so I expect that we're going to be constrained in our ability to supply over the next couple of years. As we build out this compared to what's the but very pleased to be investing in it. And what we think is going to be a bright future, both for the sales revenue and per margin. Going forward and I think on the last call, I did state clearly that our margins in IGT are similar to our aerospace turbine.
Ronald Epstein: Yeah. Got it. Thank you.
Operator: Our next question will come from David Strauss with Barclays. You may now go ahead.
David Strauss: Thank you. Good morning. Hey, John. Hey, Ken. Maybe a question for Ken. Ken, what is assumed in the cash guide for working capital? It looks like usage similar to 2024. And you know, maybe somewhere between $100 and $200 million. Then, John, in terms of template, you know, we should expect to, you know, lessen the way of, you know, kind of gross debt reduction this year. And you talked about a higher buyback. Is it fair to think about that you know, you could look to return pretty close to 100% of free cash flow in terms of buyback and dividend? Thanks.
John Plant: Maybe I'll go first, Ken, and then you clear out the working capital assumption. So what would be very clear on, David, is that if you look at 2022, 2023, 2024, is that our cash flow is essentially being, I would say, repatriated to shareholders either by share buyback dividend. Well, I also think of debt reduction and it's improving the future free cash flow as also as part of that. Given our net leverage is that when I look at it is that we can increase the dividend, but that's not going to fundamentally change the contours of our cash flow and its usage. But this year in 2025, I just don't see us doing anything like what we've done in the last couple of years in terms of putting our debt stacks into really great order. And also putting out an average interest cost of our long-term debt in a really good condition below the average of the ten-year treasury. So, again, good work there. And so that leaves us with share buyback. And the commentary I've given so far is it'll be above 2025. I've not put a pin in the exact number. But you can assume that if you look at the combination of all of that is the benefits of our cash flow will be largely, if not wholly, repatriated to shareholders. Because everything else is in such great shape. So in terms of on the working capital?
Ken Giacobbe: Yeah. So, David, so in terms of free cash flow, working capital, so again, starting with 2024, that $977 million, the free cash flow was a record as we talked about that 88% conversion. Very pleased with the performance of the team on that. Especially considering, you know, embedded in that was record capex investment. Right? Around $321 million. And as you can see in the reports that we have here, that $100 million increase in CapEx, you can see the year over primarily in the engines business. Which has tremendous return on net assets in the business. So as we move forward into 2025, we try to give you the assumptions on slide fifteen in the deck in terms of some of the building blocks of free cash flow. But north of a billion dollars of free cash flow in 2025. If you look at the working capital specifically to your question, embedded in there is a burn of around $180 million of working capital burn. And the way I would look at it is revenue year over year is up $600 million ish on the guide. Usually, you have about a 20% working capital burn associated with that revenue increase. So you're looking at a Normally, you would expect $120 million of working capital burn. What we're gonna build more inventory. Right? As we look at commercial aerospace, specifically, in narrow body, if our assumption is maybe conservative on narrow body, if that's higher, and say Boeing can go to 38-42, we will be ready for that. That's why we're gonna put some in incremental input for that working capital number.
David Strauss: Perfect. Thanks very much, guys.
Operator: Our next question will come from Sheila Kahyaoglu with Jefferies. You may now go ahead.
Sheila Kahyaoglu: Thank you. Good morning, John, Ken, and Paul. Maybe can you talk about the step down in engines margins in Q4? They were down about 450 bps quarter over quarter. A surprise given the continued volume growth there and how do we think about margin levels in 2025 and 2026 for engines given new capacity coming online and the narrow body engine kits you talked about and maybe a follow-up to Myles's question. What segment decelerates the most from Q1 levels?
John Plant: Okay. So first of all, in my view, Sheila, the small margin change in engine in the fourth quarter is what I called noise. And I wouldn't read too much into that at all. It doesn't bother me. Of course, I'd like I would not have liked it to occur, but at the same time, in terms of the long-term team value for that business, it really I think it's very inconsequential. The thing I said earlier in the call which maybe it should amplify a little bit about, as you know, we went through the changeover in terms of preparing for the new LEAP-1A stage one turbine blade, which has been noted. Probably what's not been noted is the change of dates in terms of implementation and to final FAA certification. And then readiness. So we incurred some costs during the fourth quarter in that whole changeover. And the most important thing is that changeover is behind us. The new blade is, as far as we can see, is performing well. And so you know, we don't see any of those changeover costs reoccurring in 2025 for the LEAP range of engines, because what you said, LEAP-1B will be a 2026 item. And certainly not in the might be the first half of 2026. Well, that's a TBD. And then, of course, there will be the changeover coming for the GTF, which we see as positive. And possibly even one more positive for the LEAP engines. Just because it's needed so much and the technology change is considerable. And so we look forward to that. And, again, with it being data uncertain. So I think the most important thing is, you know, Q4 was a I mean, this is the normal, like, call quarterly noise. I mean, I don't think anybody can be that you know, that good in terms of what's a fractional change for a percentage point while undergoing such significant change. That's how I categorize it. I think the second part of your question was about margin. As far as to guess at it, it comes with total change year on year, from an average of 2024 to an average of 2025. I'm pretty positive about structures business and the changes we've been making to that business during 2024. And I see that a lot of those things came right in the fourth quarter. And, you know, we hope that there's nothing that's gonna occur that will put us into reversible again. Always a, you know, it's a view and a forecast. But year on year, is that I think structures will probably be the biggest percentage improvement here. But, heck, you know, I'd like all of them to be continue to move forward. And we'll see how it goes.
Sheila Kahyaoglu: Okay. Thank you.
Operator: Our next question will come from Seth Seifman with JPMorgan. You may now go ahead.
Seth Seifman: Hey. Thanks very much, and good morning. I guess maybe following up on that last question with Structures, you know, impressive margin performance. If kind of exited some areas. So not a place where you've been looking to, you know, add incremental capital. Once you've kinda got it performing the way you want it to perform, you know, how do you think about its place in the portfolio?
John Plant: I said, didn't mean to go on record, but I did see Structures business moving to the high teens, in terms of the margin performance. And you know, one quarter doesn't make a year, but if you take if you say, what would I guess at? I'd say that we will probably repeat that in 2025. And so, you know, I that that we inevitably when you begin to do many of the right things in the business, it does earn its way to have some additional capital deployed towards it, whereas we've been really, I'll say, starving that business or certainly not reinvesting at its depreciation rate. Because of its overall place in the portfolio. In terms of, you know, margin performance, etcetera. So I think you earn your right to grow even though that business, as you've seen, is growing. I think the good news is that the inventory overhang that was at Lockheed in terms of bulkheads is, I think, behind us, and you can see some of the effects of that. I also see that titanium demand continues to be healthy in 2025. And, you know, 2026, it's always, you know, unknowns because you know, we are the beneficiaries of some geopolitical tensions that have us to Russia and who knows where all of that goes. The moment, I think it's set me up higher teams, margin business. And there's no reason why we need to stop there. So whether we can move it into the twenties that remains to be seen. But, you know, ultimately, I still stand behind the stage. I don't see that as a business which can intrinsically have the rate of margins that we have in our engine business. And, that's why we've been really pleased to really capacitize there just because of the growth, the defensive mode around the business, and the technology and the which are, you know, technologies which are yet to come. And so, you know, I'm very positive about all of that. Structures, so far, so good, and I'm pleased with its performance. And but nothing in terms of being able to place in the portfolio. It's a good contributor. It's creating value. And so all good is what I'm concerned.
Seth Seifman: Excellent. Thanks very much.
Operator: Our final question will come from Ken Herbert with RBC Capital Markets. You may now go ahead.
Ken Herbert: Yeah. Hey, John. Thanks for squeezing this in. You had really strong spares growth in 2024. What's the underlying assumption for spares growth in 2025 if you can provide that? And I guess specifically, you know, the last few calls you've talked up in particular demand around the CFM56 and spares activity there. Can you comment within spares on the aerospace outlook in particular what you're seeing? Thank you.
John Plant: Okay. So let me deal with the CFM56 comment first. Is that my view has been is that the statements, which was probably viewed about three or four years ago, that 2025 would be the year of peak demand for CFM56. I said in my view that's being pushed out to more like 2027. And I think it all comes back to the existing fleet is being worked harder. You can see that the demand into the MRO shops for those legacy engines is still increasing, and facilities are being created with more deeper overhauls are being performed. And so I really do think that my statement holds. And then if 2027 is the peak, and it might be later than that, that's where I stand at the moment. Is there any degradation from that would be very marginal and will take many years into the next decade. So I don't see a massive change there. If you think about it, when we started out 2024, the assumption around LEAP production was much higher than it turned out. And those new engines are not in the market, and therefore, you know, that in itself creates more demand for CFM56s because, you know, airlines are still using those planes as much as they possibly can and trying to accelerate, I'll say, their transition through any MRO over. So that deals with CFM56. In terms of demand for LEAP range of engines, I think the spares demand continues to grow. And if anything, the demand for LEAP-1B is I think we're gonna see that accelerate in 2025. And building on a very strong demand for LEAP-1A blades. So I think the important things to remember is we don't control when our blades leave us and are passed to CFM, let's call it. We don't control how many of those are built into new engines. And how many goes to spares. And so that'll be an interesting dynamic as we go through 2025. But my expectation is that the demand the needs for Boeing will be fulfilled. And they said those LEAP-1B engines will be produced for them, and all of the balance goes to spares on the other hand. The spares are prioritized first and OE engines less. Then that does have an impact. And so we've provided some caution around that fact and so that yes, spares is to be prioritized and at the expense of our ego, then we would not be selling our structural castings and also all of the other parts in the low-pressure turbine. That's built out by Safran. And so when you think about it, overall, what does that say? Spares are gonna increase again in 2025. And so I think we're gonna see a very healthy increase in spares and I'm hoping that we're gonna see both a healthy increase in spares and healthy increase in OE engine build and the numbers for LEAP production will actually be higher than is currently being called out. But that again is to be determined. I think every one of those engines is gonna be necessary to allow Airbus and Boeing to enable them to achieve the builds that they want to achieve. Rising above mid-fifties. And also Boeing, you know, reaching their stated exit rate of is it 38 or is it 42? You know, that again. To be determined. But it's very clear to me that every part of what we produce is gonna be necessary to build out those engines to enable the aircraft to be built. And whilst, as you know, maintaining and fulfilling the spares demand which is gonna be very healthy going into 2025.
Ken Herbert: Great. Thank you.
Operator: This concludes our question and answer session. As well as the conference. Thank you for attending today's presentation. You may now disconnect.